Operator: Welcome to Invesco Mortgage Capital Inc's. Third Quarter 2022 Investor Conference Call. [Operator Instructions]. As a reminder, this call is being recorded. Now I would like to turn the call over to Matt Seitz in Investor Relations. Mr. Seitz, you may now begin the call. Thank you.
Matthew Seitz: Thanks, operator, and to all of you joining us on Invesco Mortgage Capital's Quarterly Earnings Call. In addition to today's press release, we have provided a presentation that covers the topics we plan to address today. The press release and presentation are available on our website, invescomortgagecapital.com.  This information can be found by going to the Investor Relations section of the website. Our presentation today will include forward-looking statements and certain non-GAAP financial measures. Please review the disclosures on Slide 2 of the presentation regarding these statements and measures as well as the appendix for the appropriate reconciliations to GAAP.  Finally, Invesco Mortgage Capital is not responsible for and does not edit nor guarantee the accuracy of our earnings teleconference transcripts provided by third parties. The only authorized webcasts are located on our website.  Again, welcome, and thank you for joining us today. I'll now turn the call over to John Anzalone. John?
John Anzalone: Good morning, and welcome to Invesco Mortgage Capital's Third Quarter Earnings Call. I'll give some brief comments before turning the call over to our Chief Investment Officer, Brian Norris, to discuss the current portfolio in more detail. Also joining us on the call to participate in the Q&A are our President, Kevin Collins, our CFO, Lee Phegley, and our COO, Dave Lyle.  Financial conditions tightened during the third quarter of 2022 as the FOMC increased the Fed funds rate on 2 separate occasions by a total of 150 basis points and then subsequently added a further 75 basis point hike yesterday in response to inflation levels that persist at multi-decade highs. Equity markets declined, credit spreads widened and volatility increased from already elevated levels as recession fears mounted in the market priced at a more aggressive pace of tightening by the Fed.  The challenging environment for agency mortgages persisted during the third quarter as the sector recorded its worst quarterly performance in over a decade. Mortgages have now performed poorly for 4 consecutive quarters, and the drivers have largely remained the same. Persistent inflation, rapidly tightening monetary policy, elevated volatility, reduced liquidity and a general risk off tone in financial markets.  Given this challenging backdrop, our book value declined during the quarter ending September at $12.80. Since the beginning of the fourth quarter, agency mortgage performance has remained volatile, leading to a further decline in our book value of approximately 4.5%. On a positive note, earnings available for distribution for the third quarter remained strong at $1.39 per common share given our rotation into higher-yielding agency mortgages, along with favorable funding and a relatively low-cost legacy swap portfolio.  Further, wider spreads on our target assets have created an attractive reinvestment environment that continues to be supportive of the earnings power of the portfolio. We remain focused on improving our capital structure and during the third quarter, we made progress on that front by repurchasing preferred stock and issuing common stock through our at-the-market program.  Since the inception of the repurchase program in May of '22, we have repurchased 5.3 million shares of our Series B and Series C preferred stock, representing approximately 30% of our preferred stock outstanding prior to the start of the program. Given the decrease in book value and repurchases of preferred stock, our economic leverage increased to 5.3x. At quarter end, substantially all of our $4.5 billion investment portfolio, including TBAs, was invested in agency mortgages, and we maintained a sizable balance of unrestricted cash and unencumbered investments totaling $504.3 million.  Because of the drivers I mentioned earlier, we remain relatively cautious on mortgages in the near term. However, we are starting to see some potential tailwinds. Mortgage spreads are now at levels not seen since the great financial crisis, and has been highly correlated to volatility. As the Fed's path for future policy action becomes clearer, we should see interest rate volatility subside over the next few quarters, which would be very positive for mortgages. The technical outlook for mortgages is also improving as sharply higher borrowing rates limit the issuance of new agency mortgages, which helps reduce the pace of runoff in the Fed's portfolio, while also reducing the impact of prepayments.  I'll stop here, and Brian will go through the portfolio.
Brian Norris: Thanks, John, and good morning to everyone listening to the call. I'll begin on Slide 4, which provides an overview of the changes in the macro environment within the fixed income markets over the past year. During the third quarter, persistently elevated inflation and the acceleration of monetary policy tightening by the Federal Reserve continued to pressure interest rates higher, leading to another bear flattening move, a consistent theme over the past year.  During the quarter, yields on maturities less than 1 year increased approximately 150 basis points, while longer-dated maturities increased roughly half that amount, reflecting the expectation that longer-term inflation should decline from the heightened levels of the current environment.  Market expectations for future adjustments and monetary policy have evolved as well with further tightening expected in the near term, followed by easing in the latter half of 2023, as indicated in the bottom left chart. As shown in the lower right-hand chart, U.S. commercial banks reduced their holdings of agency mortgages during the third quarter, concurrent with the end of net asset purchases by the Federal Reserve, resulting in significantly lower demand for the sector during the quarter.  The cap on runoff of the Federal Reserve's agency mortgage portfolio increased to $35 billion per month in September versus the previous cap of $17.5 billion, leading to a modest increase of net supply to the market. With paydowns on the agency mortgage portion of the Fed's balance sheet approximately $20 billion to $25 billion per month in the third quarter, it is unlikely the $35 billion cap will be restrictive absent a significant drop in mortgage rates and resulting increase in refinancing and housing activity.  Moving on to Slide 5, where we provide more detail on the agency mortgage market. In the upper left-hand chart, we show 30-year current coupon Agency RMBS performance versus treasury hedges over the past year, highlighting the third quarter of 2022 in gray. Agency RMBS performed poorly again during the quarter, as elevated interest rate volatility and the uncertain path of monetary policy pressured valuations sharply lower, resulting in wider spreads. The sector performed very well in July as cheaper valuations and a reduction expectations for Fed sales from the balance sheet, attracted significant investor demand from the money manager and hedge fund communities.  However, sentiment quickly shifted negative in August and worsened in September, resulting in September representing the worst month for the sector on record and the third quarter representing the worst quarter in 11 years. Combined with the previous 3 quarters, the sector also concluded its worst year ever. As shown in the upper right chart, specified pool pay-up stabilized briefly before continuing their descent as demand for prepayment protection declined further given the sharp increase in mortgage rates. While implied financing in the TBA market continue to converge with short-term funding rates, as indicated in the lower right chart.  Slide 6 provides detail on our Agency RMBS investments and the changes in the portfolio during the third quarter. We continue to rotate our lower coupon investments into more attractive higher coupons, expanding our net interest margin and supporting the earnings power of the company. The period end weighted average yield on our Agency RMBS investments improved from 4.07% at the end of the second quarter to 4.65% at the end of the third quarter, capturing a significant improvement in available returns given wider spreads and higher interest rates during the quarter.  Our Agency RMBS investments are well diversified across coupons, and we have largely eliminated direct exposure to potential sales from the Federal Reserves balance sheet given the reduction in lower coupons. With almost all of the coupon stack trading at discount prices, we continue to specified pool allocation on those characteristics, which are expected to perform well in both a premium and discount environment. Higher turnover states, such as Texas and Florida, lower loan balances and low FICO stories typically provide attractively priced prepayment characteristics that lead to faster speeds when trading at a discount and slower speeds when trading at a premium.  Despite that expectations for a deterioration in the dollar roll market as the reduction in demand from the Federal Reserve and commercial banks weighs on valuations, production coupon TBA remains attractive. Although we continue to anticipate heightened near-term volatility as the Federal Reserve tightening cycle persists, we believe cheaper valuations on specified pools and TBA represent very attractive investment opportunities with current ROEs in the mid- to -high teens.  Our remaining credit investments are detailed on Slide 7 with non-Agency CMBS representing approximately half of the $72 million portfolio. Our credit allocation declined modestly during the quarter given paydowns on our credit securities. Our remaining $45 million of credit securities are high quality with 87% rated single-A or higher. Although we anticipate limited near-term price appreciation, we believe these assets are attractive holdings as 100% are held on an unlevered basis and provide favorable unlevered yields. Positively, our remaining commercial real estate loan, representing approximately $24 million market value was repaid in full in October.  Lastly, Slide 8 details our funding book at quarter end, as shown in the chart on the upper left. Repurchase agreements collateralized by Agency RMBS increased to $3.9 billion as of September 30. Given the increase in our specified pool holdings and hedges associated with those borrowings also increased to $3.1 billion net notional of current pay fixed received floating interest rate swaps.  In order to hedge additional exposures further out the yield curve, we continue to hold $700 million net notional of forward starting interest rate swaps with starting dates in 2023. Consistent with changes in short-term funding rates as a result of tightening monetary policy, our weighted average repo cost increased sharply to 3.27%. Positively, 80% of our repo costs are hedged by current pay interest rate swaps, and the increase in our asset yields as a result of our rotation into higher coupon Agency RMBS also served to offset the increase in our funding costs.  Economic leverage when including TBA exposure increased during the quarter to 5.3x debt to equity as a result of our preferred equity repurchases and the decline in book value. Leverage as of the end of October was roughly unchanged from quarter end.  To conclude our prepared remarks, the third quarter of 2022 represented another extremely challenging environment for Agency RMBS investors. Hedged performance for the sector was amongst the worst quarters ever and combined with previous quarters, resulted in the worst 9-month and 12-month performances on record. Positively, the significant underperformance experienced over the past year has resulted in very attractive valuations with historically modest leverage expected to generate mid- to high-teen ROEs on production coupon specified pools and TBAs.  In addition, the Agency RMBS market should benefit from both and anticipated reduction in volatility as the Federal Reserve near the conclusion of the monetary policy tightening cycle and improving technicals given the impact of higher mortgage rates on supply. While we remain cautious given continued near-term market volatility, we do believe today's Agency RMBS valuations represent an attractive entry point for those with longer time horizons.  Thank you for your continued support for Invesco Mortgage Capital, and now we will open the line for Q&A.
Operator: [Operator Instructions]. Our first question comes from Doug Harter with Credit Suisse.
Douglas Harter: Given that a lot of the weakness in the third quarter kind of happened at the tail end of September. Can you just talk about any portfolio actions you took that might have spilled over into October and kind of where a portfolio size leverage sits today?
Brian Norris: Doug, it's Brian. Yes, leverage is mostly unchanged since the end of September. So around 5.3x debt to equity, including TBA. So book value performance quarter-to-date is, like John said, down roughly 4%, 4.5%. So we may have modestly reduced exposure to agency mortgages, but not too much to really make a big difference.
Douglas Harter: Great. And then kind of you've been making steps to reduce the amount of preferred equity, but obviously kind of common book value has continued to fall. Just talk about where you're trying to get the preferred as a percentage of total equity and kind of what other steps you're looking to take?
John Anzalone: Doug, this is John. Yes, I mean, we're still obviously committed to getting our capital structure rebalance. And I think -- thinking about it in the context of in the 20% to 25% range for preferreds is kind of our target. And we're continuing to look for just accretive opportunities, both on repurchasing preferreds as well as if we can accretively raise common through either the ATM or through block trades. So any of those avenues in the near future is how we're going to go about it.
Operator: Our next question comes from Trevor Cranston with JMP Securities.
Trevor Cranston: You guys are obviously earning a pretty strong spread income with leverage is where it's at today. But I guess with some of the tailwinds emerging for agencies that you mentioned in the prepared remarks. Can you talk about what you'd need to see to meaningfully increase your leverage from here in order to potentially get some book value appreciation if or when the spread is eventually tight?
Brian Norris: Yes. Trevor, it's Brian. We definitely need to see a reduction in volatility. I think that's the primary thing in the market that we're looking for at this point. We think that we'll start to see that. And actually, Powell's comments on yesterday's press conference, talking about potentially a more shallow but longer time frame for monetary policy tightening. We think that, that should be a volatility reduction or we should see a reduction in volatility as a result of that.  But again, just the near-term volatility continues to be relatively high. So we think over the longer term that, that should play out. And if that were to play out, then we would look to potentially increase leverage into that. But until that happens, we're going to remain somewhat cautious.
Trevor Cranston: Okay. Got it. Then on the prepayment speed for the portfolio, obviously, it's still very low. You mentioned in the prepared remarks some of the spec pools potentially paying faster when they're trading at discounts. Can you just talk about kind of generally what sort of projected lifetime speed for the portfolio would be at this point?
Brian Norris: Yes. We think -- well, as we continue to shift into higher coupons, that's kind of keeping our prepayment speeds relatively low because we're buying mostly newly issued mortgages. So we're still seeing kind of high 3 CPR range. We would expect turnover to be in around the 4% CPR range. And our rotation into higher coupons should maybe increase that a little bit. But we would anticipate kind of high single digits for a longer-term CPR on what we hold currently.
Operator: [Operator Instructions]. Our next question comes from Jason Stewart with JonesTrading.
Jason Stewart: How do you guys view the political nature of the Fed at this point?
Brian Norris: Jason, it's Brian. Yes, yes, that's a tough one. I think clearly, there were some statements or sentences added to the statement yesterday that seemed to be a little bit more dovish than the press conference was. So I think clearly, the Chairman is likely more hawkish than some of the other committee members. And so I think his goal and the way he views it is that it's easier to be hawkish now and dovish later than to be dovish now and potentially lease control of inflation.
John Anzalone: Yes. I think that's -- yes, this is John. I agree with all that. And I think being more -- being slightly more aggressive or more hawkish, in the near term is probably helpful just in terms of trying to get -- first of all, get inflation the people more quickly, but then also avoiding getting into the next presidential cycle and all of that. So I think that's part of the calculus probably. The other thing that didn't come up is the whole potential of selling mortgages, which has been an overhang for the mortgage market for a long time. It's sort of with the whole talk of the -- supposed dovish pivot we didn't get that talk went away a little bit.  I think going forward, I think the possibility of selling mortgages as we go forward is kind of becoming less and less as we -- as you realize, like most of the Fed holdings are massive discounts, and that would create potential paper losses and things like that, that could be -- you could see easily becoming politicized. And I think the Fed really wants to avoid any sort of overt political battles. So I think that's where it is. I mean I think to Brian's point, though, I think the path that seems to being laid out where the endpoint is kind of more important than the past and that it's going to be maybe a longer but more -- less aggressive hikes in each meeting is potentially good for mortgages and potentially good for volatility decreasing. So we view that positively.
Jason Stewart: Got it. And then in terms of TBAs some of your peers used to be a little bit more aggressively than you guys do. What would cause you to change your view on the way you use TBA ?
Brian Norris: Yes. I mean certainly, TBAs continue to be pretty attractive. We've seen deterioration kind of as production comes online in the newer coupons, it's just that we've continued to see newer coupons being created as mortgage rates continue to march higher. So 30 year, 5.5 and 6s are relatively attractive. But as we start to see more production come out of those coupons, we would anticipate that to decline, which has kind of kept a limit on how much we're willing to invest in the TBA market.  But if we were to see things kind of just -- if we start to see banks start to come back into the market and we start to see kind of rates stabilize a little bit, we would anticipate those higher coupons to remain somewhat attractive. So in that environment, I think it would make sense to maybe increase the exposure there.
Jason Stewart: Got you. So more on the ball side, I got you.
Operator: There are no other questions in queue at this time.
John Anzalone: All right. Well, I'd like to thank everybody for joining us, and we look forward to meeting you again next quarter. Thank you.
Operator: That concludes today's call. All participants may disconnect at this time. Thank you for joining.